Ann-Sofie Nordh: Greetings, and welcome to this presentation of ABB's second quarter results. And as you can see, we're now we're shooting from our new ABB studio. And as per usual, we have our CEO, Morten Wierod; and our CFO, Timo Ihamuotila. And without further ado, I will ask Morten to kick off the presentation.
Morten Wierod: Thank you, Ann-Sofie. And a warm welcome also from my side. In the second quarter, we delivered on plan with mid-single-digit revenue growth and increased operational earnings in 3 out of 4 business areas. I'm pleased with the overall results. That said, I acknowledge that not all is perfect. We still have work to do to improve, for example, the Machine Automation and e-mobility business. When it comes to the market, I would say that the business environment was more or less unchanged compared with the first quarter. Our broader markets remain fundamentally strong as the world turns to electric power and automation. And just like in Q1, we, just like everybody else, live with the added layer of uncertainty in terms of potential tariffs. I have said to our teams to continue to focus on what we can control. Our legacy of a local-for-local footprint serves us well. We do what we have done before, take balanced actions to defend our market position and profitability. One key highlight in the quarter was the record high order intake of $9.8 billion. We booked a very large order in Process Automation, which helped us to get to this new all-time high. But momentum was also good when looking through this impact. We had positive order growth in all 4 business areas, supported by all regions and the majority of customer segments. Another happening was that we got recognized by TIME Magazine. They listed ABB as one of the top 15 most sustainable companies in the world across all industries. I view it as a testament to the success of the ABB Way operating model. We have embedded and made sustainability part of all our operation based on accountability and transparency. Another highlight was the launch of 3 new robot families. These new offerings broadens the market scope for our robotics business as we expand to mid-market value propositions. Entering into this market segment with a fully local-for-local offering will support long-term growth and profitability for ABB Robotics, and it will strengthen our already leading position in China as we have helped lowering the bar for automation also for smaller operators. So we move towards the spin-off of robotics from a position of strength and the process towards Q2 next year is progressing according to our plan. A really exciting event was Electrification launching the upgrade of its already technology-leading air circuit breaker, the Emax 3. The previous version has been out since 2013. And now we have an even sharper offering, clearly ahead of the competition. It has a world- leading cybersecurity technology. It includes sensing, intelligence and advanced algorithms to improve energy security and resilience of power systems in critical infrastructure. You find it in data centers, factories, hospitals and so on. We have had great success with the earlier version, and we have gained market share and have already installed more than 5 million Emax 2 breakers. This upgraded version is purposely designed with the same proportions, meaning customers can upgrade their retrofits for the switchgear to become even safer. The Emax is one good example of how our business areas benefit from each other. Motion can leverage on electrification's technology developments as they include the Emax in their power drives. And in my view, this is one clear proof point on how we create customer value by embedding software in all of our products. Let's take a quick look at this video. [Presentation]
Morten Wierod: This was a first flavor, and I leave it as a cliff-hanger for Giampiero to talk more about the Emax 3 at the Capital Markets Day in November. I already mentioned the record high order intake of $9.8 billion, which is up 14% on a comparable basis. This includes the very large booking of about $600 million in Process Automation. Congratulations to the PA team on that. But you should note that our orders increased by 7%, also excluding this large impact. And it's encouraging to see that it was not one single driver. All 4 business areas improved orders in the 3% to 9% range. We had positive development in all 3 regions in the majority of customer segments and in our service short- and long-cycle businesses. In my view, a really solid performance. Looking at the different segments. Demand was strong in utilities, the same for data centers, and these are strong medium voltage exposure that also drive demand for our service business. The building segment was overall positive, and Marine is an area which continues to be very good for us. The same goes for ports, where we help customers automate and electrify system for container and bulk handling. I also want to mention rail, where we see a continued solid pipeline as train fleets convert to electric power. So what is weaker? The automotive segment is challenging and it put pressure on robotics orders. And similar to what we have seen in previous quarters, customer activity is subdued in pulp and paper and chemical. If you look at the right-hand chart, you see that we actually hit an all-time high also for revenues, which reached $8.9 billion. It was up 6% with positive contribution from 3 out of 4 business areas, and it was supported by both the short and the long-cycle businesses as well as service. In total, revenues were strong, but orders even stronger. So we continue to build order backlog and book-to-bill was 1.1 in total and positive at 1.03, also when excluding the large order in PA. Turning to look at the different geographies. We were actually up in all 3 regions. The Americas was again the main growth engine and increased by 28% like-for-like. The high number is helped by the large order booking, but the region is up by high single digit, also excluding this, driven by the U.S. Asia, Middle East and Africa improved by 6%, with China being virtually stable to positive in all business areas. Europe was up by 6% on a comparable basis with a positive development in our largest market, Germany. It was good to see that we convert positive top line growth into improved business performance. Operational EBITA was up by 9%. And at risk of repeating myself, also here, we have delivered a new all-time high of $1.7 billion. I'm pleased to see that we kept the gross margin at the 40% level and the outcome for operational EBITA margin was even a bit better than what we expected at 19.2%. This was driven by Electrification and Process Automation, while Motion was almost stable. This offset margin pressure in the Machine Automation division as well as headwind of 30 basis points from last year's positive non-repeats in corporate and other, meaning our underlying margin improved by 50 basis points from last year. If we continue down the P&L and look at our net delivery, EPS was up by 6% to $0.63. I'm pleased with our delivery. Now I hand it over to you, Timo.
Timo J. Ihamuotila: Thanks, Morten. And let's now take a look at what happened in the different business areas, starting with Electrification. They delivered new all-time highs for both orders of $4.5 billion and revenues of $4.3 billion. And I have to say that delivering a positive book-to-bill of 1.04 when the base is record high revenues is a job well done, a testament to strong underlying markets and a very good execution by the team. The strong order intake was supported by improvements across the portfolio, meaning services, short cycle and systems-related businesses. And also when looking at the different segments, there was a broad positive development with most areas improving from last year. Utilities stands out on the positive side, together with data centers, where orders improved at double-digit rate. The building segment was also supportive to growth, driven by the commercial market outside of China. The residential area, however, continues to be challenging as China is persistently weak. We also noted some softness in the U.S. market, while Europe is more or less stable. And just as a reminder, that building segment is about 30% of Electrification with residential about 10%. Now turning to revenues, which increased by 11% like-for-like. This was primarily driven by higher volumes as we convert the backlog related to medium voltage and power protection, but also by improved activity in the short-cycle business. We also had some additional support from positive pricing. And in total, it resulted in revenues of $4.3 billion for the quarter. Earnings exceeding the $1 billion mark was another milestone for Electrification. They continue their margin journey and improved by 70 basis points from last year, now reaching 23.9%, even better than what we originally expected, supported primarily by volume leverage and operational efficiency measures. Looking into the third quarter, we currently expect mid- to high single-digit growth in comparable revenues and the operational EBITA margin to remain broadly stable from last year's record high level. Let's then flip to Motion, which delivered another quarter with order intake above $2 billion. The comparable order increase was 3%, and it was due to an improvement in the short-cycle businesses, which more than offset the impact from lower large order bookings. In Motion, we continue to see favorable order development in HVAC for commercial buildings and data centers. Power generation is another segment which contributed to growth as well as food and beverage driven by our project businesses. Oil and gas was stable year-on-year, while the softer areas included the process-related segments of chemicals, pulp and paper and metals. Rail actually declined in the quarter, but this was linked to the timing of orders as this market is something where we see continued strength. Shifting now to revenues. The Motion team executed well at just above $2 billion, improving 4% on a comparable basis. This was supported mainly by higher volumes in the short-cycle businesses, combined with backlog execution and some positive pricing. In the earnings chart, you see that profit was up by 5% to $407 million on higher revenues. The margin, however, remained more or less stable, softening by 10 basis points as the positive impact from operational leverage on higher volumes and some pricing was offset by higher SG&A expenses. And before commenting on the outlook, I want to mention that effective as of July, we simplify our divisional structure in Motion. We combined the former Systems Drives and Large Motor and Generator division into the newly formed High Power division. We believe this consolidation will be more efficient and customer-focused setup, deploying go-to-market synergies in the medium voltage space. In this space, customers often buy both drives and motors from the same vendor simultaneously as they want to optimize the performance of large applications. For the third quarter, we anticipate comparable revenue growth in the mid-single-digit range and the operational EBITA margin to remain broadly stable compared with the second quarter of '25. And speaking of records, in Process Automation, orders reached $2.6 billion, which is an increase of 40% on a comparable basis. This includes the large order, which Morten also mentioned, contributing about $600 million. This was booked late in the quarter and has a multiyear delivery period. However, it is also worth mentioning that when you look at the impact of this large order, the underlying demand remained robust with orders increasing about 8%. The market profile was similar to recent quarters with the strongest customer activity linked to the segments of marine and port automation and Electrification. It was also good to see growth in the short-cycle product business, even if it was from a relatively easy base. We increased our orders in the mining segment due to a few specific projects. However, the general business environment remains relatively cautious. Orders in oil and gas segment improved, while the more muted process industry-related areas were pulp and paper and chemicals. The team executed on their steadily increasing order backlog. However, revenues came in slightly below our expectations at $1.8 billion, improving 2% on a comparable basis. There is no drama here, but relates to the short-term timing of deliveries. It was good to see that Process Automation now had all divisions operating at around 15% or higher margin area. This resulted in earnings of $290 million, up 10% year-on-year and a record margin of 15.9%, well done by the team. Looking at our expectations for the third quarter, we foresee comparable revenues to improve in the mid-single-digit range and the operational EBITA margin to be broadly stable year-on-year. Now we turn to Robotics & Discrete Automation, where comparable orders improved by 4% to $729 million, albeit from last year's low base. And as usual, for the second quarter, there was a sequential drop in the order level. There were, however, variances between the 2 divisions. In robotics, there were softer order intake across customer segments with the exception of consumer electronics. Customers appear to be a bit in a wait-and-see mode on the back of continued tariff-related uncertainties and some projects are pushed to the right. Despite this, we do expect orders to improve sequentially. In Machine Automation, orders increased sharply from last year's low level. That said, the absolute order level remains subdued as customers cautiously balance new ordering with inventory levels. Nevertheless, we anticipate absolute orders to increase sequentially in Machine Automation as well. Moving now to revenues. The Robotics division reported a mid-single-digit growth rate, driven by higher volumes from the book and bill business. This was, however, clearly offset by significantly lower volumes in Machine Automation. In total, this resulted in comparable revenues being down 5% year-on-year. Operational EBITA margin of 9.1%, down 200 basis points year-on-year and 80 basis points sequentially. As in recent quarters, the Robotics division's margin was well into the double-digit territory and actually improved slightly from last year. The business area margin decline stemmed from weaker results in Machine Automation. This division recorded a small loss as the volumes in production have not yet recovered enough to cover the cost under absorption. For RA in the third quarter, we expect order intake to increase sequentially. For comparable revenues, we anticipate to be in low to mid-single-digit range of growth and operational EBITA margin to improve both year-on-year and sequentially. Now let's move on to cash flow. The free cash flow of $845 million is slightly down from last year. Although we increased earnings, this was more than offset by some growth-related buildup of net working capital as well as the planned increase in CapEx spend. That said, looking at the total for the first 6 months, we are at $1.5 billion and a few million up on last year's level. Our usual pattern suggests a stronger cash delivery in the second half of the year, and we continue to be confident to improve from last year's annual level. And with that, let me hand back to you, Morten.
Morten Wierod: Thanks, Timo. Now let's finish off with the outlook. We leave our 2025 guidance unchanged. For the third quarter, we expect comparable growth to be at least in the mid-single-digit range and the operational EBITA margin to remain broadly stable with the 19% last year. So now, Ann-Sofie, let's open up for some questions.
Ann-Sofie Nordh: Yes. Let's do so. [Operator Instructions] And with that said, I suggest we go for the first question, and we open the line for Martin at Citi.
Martin Wilkie: It's Martin at Citi. The question I had was on Electrification and how we're thinking about pricing and volume. It sounds like you had good orders there again in both utilities and data center. Are we now in a market where that's -- when you talk about double digit there, that it's really volume. So essentially pricing is now sort of normalized or flattish and that double-digit comment is effectively a volume comment for order intake.
Morten Wierod: Yes, we can make that very short really and say, yes. That's the very short answer. We see a bit positive pricing. Of course, this is an average. I always say on a global business, there are the average of maybe 0.5 point of price increase, but that is the average between some geographies where you have stronger pricing and others where we even see deflation and taking U.S. and China as 2 examples there. So the pricing is not a big factor for this quarter. It is really driven by units and growth in the number of units.
Martin Wilkie: And there was one question just to clarify that because obviously, there was some debate last year about normalizing supply, particularly medium voltage and lead times normalizing and so forth. But there's been no adverse effect of that on pricing. It looks like we've kind of gone to a normalized level of price as opposed to giving up any of the price that we saw and benefited from over the last 12 months or so.
Morten Wierod: Correct. That is what we see in the marketplace. It's the capacity, I mean, kind of demand supply, probably a bit better balance, but still strong demand as we see on the order numbers. And that has also been reflecting that the pricing is staying very stable.
Ann-Sofie Nordh: Thank you. And we'll take one question here from the online setup. And here's one from Gael at Deutsche Bank. He's asking about that large order, which client vertical is behind that order? And do we see more of these larger orders coming through?
Morten Wierod: Yes. We're not allowed to give you the name of the order of the client. What we can say, as you see in the numbers, it's a multiyear order that sits in the service business. It's in Process Automation. It's a good quality orders, and that's kind of where we leave it. We are happy to see this kind of long-term order that goes into our order backlog when they come at good margins. And -- but we don't -- we're not -- if the question is leading to -- if you're going to kind of move back to EPC business or large projects, that is not the case. This is, let's say, a multiyear service order that we will take quite many years to execute, but it's always good to get it into the backlog.
Ann-Sofie Nordh: Very good. And then we open the line for Max at Morgan Stanley. Are you with us?
Max R. Yates: Just I guess the question I had was just around data centers. So obviously, improved kind of data center order performance. We know you were affected kind of last quarter because of a single hyperscaler sort of changing their ordering plans. Maybe if you could just comment, is the improvement in data center just down to that customer kind of normalizing their behavior and going back to ordering? Or are you actually seeing a sequential acceleration in data center demand? And maybe also if you could give us some color around what are your sales doing? What kind of growth are your sales doing in the second quarter? And what should we expect for the full year?
Morten Wierod: No, on the data center, we had a very positive and a good strong development in the second quarter, double-digit growth. And that is across the board from all clients in -- of course, there are others where we have much higher growth than others, but that's -- this is the average of the whole segment. And it's also positive to see this is, of course, a lot in North America, but it's really a -- that is the global number. And we see a good data center growth also in China, in Asia and also in Europe. So that is really across the board. And it has also given us the confidence for -- also for the rest of the year that the statement of double-digit growth for the segment will remain and also for the years to come as when we talk with the hyperscalers and the kind of large clients in this industry, they're not going backwards. There is a significant investment planned -- new investment plan for the coming years. You've seen some of the announcement in the news like Stargate and others. So therefore, our confidence is really high. And maybe, Timo, if you comment anything? We don't do the revenue breakdown.
Timo J. Ihamuotila: No, I don't know. I'm not going to go there.
Morten Wierod: Then you can say...
Timo J. Ihamuotila: It's solid growth, of course, there as well.
Ann-Sofie Nordh: Very good. And then we take the next question from Daniela at Goldman.
Daniela C. R. de Carvalho e Costa: It's actually sort of a follow-up on these topics on the very strong growth. You've mentioned double-digit growth in data centers, but also interested on how do you assess internally, both on data centers or on the low-voltage part in Electrification products. What is potential prebuy versus what is underlying growth? How -- I'm more of a conceptual company of how like a company like yourselves internally in terms of systems can have the visibility to distinguish these 2 things so that we can be confident this is really underlying demand.
Morten Wierod: Yes. I mean we have a very good transparency on what is the kind of end user point, but also -- because we know that from our client base on where it sits. So we can with, I would say, very high accuracy, know both by region and down to customer and client levels. And some of it is because you have different SKUs even that is -- have special features that is required in the data center industry that we have agreed with some of our larger clients. So that's how we also are able to track this very well. It's not a team of coming up with some crazy numbers here. It is coming from our system with a good tracking of -- and sometimes even down to SKU level that are being used in this industry.
Timo J. Ihamuotila: And we, of course, follow...
Daniela C. R. de Carvalho e Costa: No, I was just wondering, have clients ever in the past in any cycle told you when they were prebuying stuff? And is there a possibility that they go back and cancel this? Or these are all firm orders?
Morten Wierod: Yes. The -- we don't see a pattern of prebuying. But of course, these are orders we place now which have pretty long lead times. And therefore, there are clear terms and conditions around contracts, including, as you say, cancellation fees and others that will take place if that come. But we haven't, in general, seen that in these segments. It's more about how can we book capacity. But it's not just to book capacity. You need to have that into a dedicated project because as the data centers develop, you also -- and in size and the technical solutions will be different, then you need -- so it's not that easy to prebuy. You need to know what you want to buy, what's the technical design and then you can place an order. So orders we have today do often have lead times from 12, 24 months. That is kind of more the cycle because it goes also into the civil works and other things on the site that needs to be aligned.
Timo J. Ihamuotila: Yes. I was just going to say that more often you see that kind of -- where it's more difficult to follow in the channel business where, of course, you don't exactly always know how the inventories on that side develop. But I think in this area, very unlikely that there would be any prebuying. And we, of course, also have the kind of like order pipeline, which we follow probability weighted, but we also see kind of like what is coming longer term.
Daniela C. R. de Carvalho e Costa: But in low voltage, you also don't see prebuy?
Morten Wierod: No.
Ann-Sofie Nordh: Prebuys done and dusted. Okay. Maybe it's a question for you, Timo. How confident are you to reach our full -- your full year guidance of mid-single-digit revenue growth given the ongoing uncertainties in the business environment?
Timo J. Ihamuotila: Yes. Okay. Thanks for the question. So basically, when we look at our performance now, we have been at 5% growth first half, so kind of like rounding in there. And then when we look at our backlog, we actually expect about 5% conversion from the backlog. So backlog is clearly higher at record level, $25 billion. So our conversion is a little slower, but still, actually, we have approximately 5 points coming from that. And then also, I mean, we guided sort of a little higher revenue, at least mid-single digit and also had strong order growth in our short-cycle orders on high single digits. So with all that in, even with the economic uncertainty, we actually feel quite good about where we are at the moment.
Ann-Sofie Nordh: Very good. And then we take a question from the conference call, and that's Andre from UBS.
Andre Kukhnin: I just wanted to touch on the formation of the new High Power division within Motion. I thought before we were moving kind of more towards, say, higher fragmentation or looking at small and smaller pieces within each subsegment of each business area. Is that not kind of move the other way? And is this something that you expect to cover at the Capital Markets Day, that kind of more granular look at smaller individual businesses with ABB? And maybe while at that, is there anything else that we should be looking forward to at that Capital Markets Day?
Ann-Sofie Nordh: 1 or 3.
Morten Wierod: Thanks, Andre. I won't give any spoilers of the Capital Market Day today.
Timo J. Ihamuotila: But we welcome the video.
Morten Wierod: So we'll do it there. But let me comment on the new High Power division as part of Motion. It's -- they have today 7 divisions. They will now have 6 going forward. The reason of looking at these 2, it's not a trend that ABB will kind of merge a lot of divisions, but it is for -- we have now with the business line transparency as we have better now in the divisions. We looked at what are more of stand- alone and where it's very tightly connected. And that's why kind of the basis of this. There is a lot of large motors and large drives, which is designed together as one package. If it sits, for instance, on board, a ship or it sits in a cement plant or in a pulp and paper plant, these kind of solutions need to be designed together. So from a completely different technologies between motors and drives, but it's the combination of the 2 because the drive is controlling the motor, and therefore, it also need to be -- have a common design. So that is this system and solution thinking that it holds the 2 together and the customer will buy it as one package. They will not buy a motor from -- this is not from the shelf motor and from the shelf drive. This is really designed as a system together. And that's why we said that going to market, there is advantages. And therefore, we believe that we can take out some cost on one side when it comes to administration, but we believe also when it comes to serving the customer will be even better in this setup where you kind of -- because you win the package or you lose the package together. So sometimes you need to take a bit of a cross the division or now it will be inside one division to make that decision to take the whole package or to lose the package. That's one decision to make and not 2. So that's the majority of the reason behind it.
Ann-Sofie Nordh: Very good. And then there's a question here from Ben Heelan. He would like to know about Machine Automation. And in Q1, you talked about moving into a more normal ordering pattern on Machine Automation. Do you still see this?
Morten Wierod: Yes. We are -- what we talked about earlier was that we had inventory sitting out at our customers, the machine builder customers that they had over ordered in the semiconductor crisis time. We see that those inventories, and we have transparency on that, that those inventories are now down to more of a normal level. That means that the order intake reflects more the real market demand and not kind of taking down or ramping up inventory levels. So we still see a bit of slowness in the whole overall machine builder market. That's probably where we do see some of the uncertainty in this market. But the kind of the -- so now the demand in the market is the same as our order intake. So that effect is now taken out of the equation.
Ann-Sofie Nordh: And then we take a question from James at Redburn. James, can you hear us?
James Moore: Great to see your 9% Electrification order growth. And I hear all your message about grid and data center being very strong. Compared to others, you've got quite a big exposure to industrial. And over the years, we've been seeing a greening of heavy industry trying to become more decarbonized and the likes. Is that momentum slowing post Trump where perhaps green tech agendas have faded somewhat? Can you talk about the pace of growth in industrial and that theme, please?
Morten Wierod: No, happy to do so. You're right that the best way to decarbonize your operation is to go electric. That's kind of the ultimate solution. But there is another point to it the best way also to reduce your cost in your operation is to go electric. I can use an example where a steel company in India to be competitive versus Chinese steel imports, they're looking at how do we become more productive in our steel production. And there, we are helping them to go from a coal-based furnace to electric furnace. And it's -- of course, it's a decarbonization topic, but that's not the motivation. It's a productivity gain. So our technology and the whole Electrification is not only about greenification, it's also about productivity. So when we're talking about making industries leaner and cleaner, this normally goes together. It's not one or the other. It's both. And that is where the Electrification trends play in many industries today that it's not just to decarbonize. That's kind of the icing of the cake, it's to become more productive because it has a lower operating cost and lower maintenance cost when you do it with electric solutions compared with others. And I see -- just also to mention on the Electrification side in the United States, there, we see that there may be a shift or a trend from renewable power generation to more into the gas side, LNG. But for us, as ABB, what we see is that the electric consumption is going up and how you generate that electricity, we will be part of it either as say on renewable or on the LNG side. So for us, it's it really doesn't matter what part if you look at from a pure financial performance, we will have content move part of that, both of the grid integration, but also a lot of those solutions that are being used. So that doesn't really affect -- on a personal note, I think we need every source of energy also in the United States, but also here in Europe. So I think it's not taking one -- only one solution ahead of another. We're playing in every of these grounds, and I think we will see that also next year when we need more energy or more electricity will come from multiple sources.
Ann-Sofie Nordh: Thanks, James. And we take the next question and open the line from Jon at BNP Paribas.
Jonathan R. Mounsey: Maybe a question on trading, particularly in China. So we're plus 2% on the orders now. I guess the picture might be quite mixed across the various China end markets. And could you comment on that, particularly on recent trading as we headed into Q3? And just on that Q3 comment, I see in the significant events after Q2, I think the robotics business launched 3 new robot families in China, specifically to target the mid-market. Is that purely just an opportunity to take more share, more revenue? Or is it also a reflection of competitive trends perhaps in the higher end, sort of the need to compete more aggressively with local competitors?
Morten Wierod: Yes, I think that. I mean, as you said, we had 2% order growth in China in Q2 where -- but there is also a bit of mix of the different -- between the business areas. But overall, the trend, what we talked about earlier, strong growth in data center, strong growth in renewables on the industrial side, but weakness in building and especially residential buildings are still on a weak side. And our projection is that it will remain for quite some time. So kind of -- it's a bit like the inventory of apartments that need to come down. It's too high. So no need for new capacity. So that is going to take some time. When you look about robotics, I think this is a great opportunity of now coming with 3 new robotic families. They are addressing mostly the mid-market and lighter applications. It's what we have talked about earlier where we had some gaps that we needed to fill also to compete. A lot of customers asking for this kind of solution, and we're very pleased to see that this is now being available out in the marketplace. And that's, for me, a great opportunity for the robotics team to really fight with the same tools or guns in that marketplace. It's a great local-for-local initiatives. It's designed in China, manufactured in China and it is sold with our Chinese system integrators and partners in China. So I think that's really kind of the best example of what when we talk about local-for-local, this is what we mean about it.
Timo J. Ihamuotila: Can I add one thing there? So actually, in our Motion business, we had a pretty good growth now in China and exactly following the strategy. So kind of like, for example, in drive products, they have really made a lot of work to localize the product. And I think we are seeing now a little bit of benefits of that. So that's actually really nice to see. And of course, we would expect similar to happen in robotics as well.
Ann-Sofie Nordh: Very good. And then we'll take the next question from -- thanks, Jonathan. And then we'll take Will at Kepler.
William Mackie: Yes, my one question would go to the subject of capital allocation. I think if we go back to October when you kicked off, Morten, you were confident about a positive pipeline of deals. There have been a few, but I wonder how are you shaping up the team to accelerate the capital allocation process from a bolt-on perspective bottom up. But more importantly, perhaps, what are the sort of range of transformational transactions that you're looking at, at the moment? And how should we see capital allocation developing over the next 6 or 9 months?
Morten Wierod: Thanks, Will. As you said, the skill set, I say a bit two-folded. First is that what we need to do on bolt-ons, and that sits very much with our operating divisions. And there, we are building pipeline, and we are doing deals and as you also referred to, we are asking the divisions to do a -- be bolder and to make some bigger deals. We do quite many in the $30 million to $50 million or up to $100 million range. We are okay also that the division take a bit of a bigger leap, could even make $200 million, $300 million up to $500 million. So that's the one side of how we -- when we talk about bolt-ons. Then we're looking at the more transformative deals and the bigger ones, that sits very much on the table of the business areas and of course, also with Timo and myself and our corporate team when we're looking at larger deals. And that is something we are working on. We are also -- we are having a pipeline. It is developing. And -- but as you always know, we're not going to announce any deals or what we should do on this call. We will do that when we have done them. But what we committed to and what I committed to almost a year ago when we did Q3 still very much remains.
Ann-Sofie Nordh: Thanks, Will. And then we have one question here from Olof at Danske Bank. He's asking about Germany, switching geographies here, orders up 16% in Germany versus a decline earlier on. What's driving this? And are we seeing any impact from stimulus packages announced?
Morten Wierod: Yes. The growth in Germany comes in 3 out of 4. It was the only EL, Electrification where we didn't see growth. We had there also some high comparables from last year. There are more -- this is more a project business that we have booked in Germany. We don't see any kind of real effect on stimulus packages yet. I think there is still -- I mean, this takes time to go through the process through the different levels organizational-wise, especially on government spending, we're talking about that Germany have made decision- making on country level, but it needs to go down to the regions and the money being -- and budgets really being made available. And that's not something we see when we talk about the market yet. So that is more a thing to come. And especially if you look at the building markets, which is important for us in Germany there, we don't see it yet. But we know that there is the demand and the need is clearly there, and there is more about giving permits and getting the planning process going, which is -- but we know kind of the decision on top level is made. It's now it's the execution down in the, let's say, more of local state or province levels that needs to happen. And I know also our team is pushing there to really see that come through the system.
Ann-Sofie Nordh: Yes. And I just -- there's one question here regarding price and perhaps -- so there's no confusion out there. When you talked about price, did you mean that there was price deflation in both China and the U.S. -- a total. So there's no -- we don't leave no confusion on this.
Morten Wierod: Okay. Then sorry if I was not clear. What I said is that the slight positive change was an average between some deflationary environment in China and more inflationary or more increase in the United States. So when you add those together, that's where you end up on a slight positive for the quarter.
Timo J. Ihamuotila: And maybe to add to that, the price on the positive, it's not like just the U.S., of course, it's also in other markets. So China is, as Morten said, a little bit more deflationary at the moment. But in the other markets, we have about this average 0.5 point or something coming from price. And that 0.5 point, of course, includes already the China deflationary. So outside that, higher.
Ann-Sofie Nordh: I hope that leaves it without any confusion on pricing. Then we move to the call and take -- open up the line for Joe at Cowen, please.
Joseph Craig Giordano: Just curious on the orders on Electrification. Do you feel like just in dollars, are we at some sort of like near-term kind of local peak at very high levels at $4.5 billion? And I'm just curious on the mix there, too, because margin is very, very good. But in 3Q guidance, you kind of have stable margins at a fairly high revenue growth rate. So maybe if you could talk about mix there.
Morten Wierod: Yes, we have the strong order growth. We see that also continuing. We have a strong pipeline on Electrification. I mentioned already data center, but also utilities is a segment where we see a long term, it's really across the globe where we need to get higher investments on the utility on the grid -- stronger grid to justify or kind of to enable these Electrification trends that we are seeing all around the world. So that is why we are pretty bullish on the -- or what we say about the -- or guiding on Electrification. Margin-wise, it's always a bit of mix, both when you look at a comparable from last year where Q3 was very strong. And then you have in quarters also some mix effect when it comes to if we do more system or more base products. So that is kind of in line. But Timo, maybe you have something else you would like to.
Timo J. Ihamuotila: Yes, I can throw in something on the dollar comment because this 9% growth, what we have in the orders is on a comparable basis. And then now with weaker U.S. dollar and us being a U.S. dollar reporting company, actually, my guesstimate, I don't have it, but I think it's probably 2 percentage points higher when you compare to this $4.5 billion number. So kind of like probably 11% growth kind of like on a reported basis. So again, the 9% is a comparable number. And then exactly, as Morten said, on the margin, we expect a little bit more from the systems business on the mix. So it really is a mix topic in EL. And so let's see how it pans out then during the quarter.
Ann-Sofie Nordh: Yes. Thank you. And then we open up the line for Phil at JPMorgan.
Philip John Buller: I guess the thing that surprised me is how solid the results were outside of data center. Obviously, you don't believe this is prebuying. I know you referenced market share. But without wanting to labor the point, are customers overly telling you in quite a broad-based fashion that they are now living with uncertainty and pressing ahead with projects? And on that big PA order, I know you can't comment too much about the customer, but is that one that has been in the funnel for a long time and is a tangible example of living with uncertainty and pushing ahead with a large order?
Morten Wierod: Yes. Thanks, Phil. It's the -- start at the end, yes, this is a long term. There was not a surprise, this order. It is -- and it's a multiyear order in the service business that will take yes, 10-plus years to execute. So that's the -- that's why -- but you always like to get it on the books even if it's a long-term commitment from the customer. It shows kind of also the strength to have that on our side that we can work together with the customer on such a big multiyear program and project. When you talk about the base business or kind of the overall trend there, there is -- we said already, there was no kind of prebuy. There is just a strong confidence of the whole trend of Electrification. And maybe as you what you said also here, the uncertainty in the market, I felt was higher coming into the quarter than leaving it. We, as an organization, but I think every industry gets used to the uncertainty these days, and it's more difficult to plan. So in some way, you just say, okay, let's just get on with it and we plan. If it makes long-term sense a strategic sense to do it, there is no point to wait for a month to see where it all pans out. So I think with the exception what I see what we saw in automotive, which is a small part of ABB with the exception of that, I think broad-based, people just get more used to that this is a new environment, and it's probably going to last for some time. So let's just get on with it and do what makes sense today because if it makes sense, in also over the long term, it doesn't help to wait for another month or 2.
Timo J. Ihamuotila: Yes. Maybe just to throw a number in there. So we actually had Q2 also double-digit order growth in large orders outside this $600 million order. So there are people who are also pulling the trigger on other stuff.
Philip John Buller: Can I just follow up? Are you also taking that same approach when it comes to things like your own CapEx investment plans and M&A plans? Are you a bit more confident now to pursue opportunities than perhaps you were 1 quarter ago?
Morten Wierod: Yes. I would just say that if it makes long-term sense, we will always go ahead. And there, as we say, some of these longer trends where we know there is capacity needed, we're making the investments. And so we are not delaying or waiting kind of this wait and see what happens. We're not in that position. We know if it makes long-term sense, we're going ahead, and that's kind of the strategy and the direction.
Timo J. Ihamuotila: Of course, slight difference in CapEx and M&A because one -- you can totally decide yourself. The other one, of course, requires a little bit more consideration from multiple parties.
Ann-Sofie Nordh: And then we open up the line for Seb at RBC.
Sebastian Kuenne: I was wondering the short-cycle business within Electrification, and it relates to a question already asked, but -- you said that resi is still soft. You don't see prebuying. Pricing is not a big issue. So when I do the numbers, you probably still see like 7%, 8%, 9% growth just for commercial and any other Electrification. So would then the conclusion be that you take market share in that region? Or what is the reason why it's so strong when PMIs are still unchanged and everyone talks about a flat short cycle and you speak of a strong short cycle here. Maybe you can explain a bit.
Morten Wierod: Yes. No, it's too early to say. I think we are the first in our industry that present our numbers. So it's a bit early to say, yes, we are taking market share. I'm confident in how our teams are working on the ground and supporting our customers. So I -- and that with our exposure in the market. So I think we are rather gaining -- but that's the -- I'm more based on that on historical data where we have overview. And we are taking share in many important segment for us. So that is part of the success of ABB over the last few years. So that's the -- that is how -- but it's too early to say for this quarter, how that will run out. I guess we know that later on.
Timo J. Ihamuotila: Yes. Yes. But I would say it's kind of like when you look at the Electrification growth also on revenue, it was kind of like very broad- based. So we had almost 20% growth, I think, in the U.S. and 16% in Americas. And then we had, I think, 7% in Asia, Middle East and Africa and 8% in Europe. So it is actually quite broad-based kind of like revenue performance there. So it's not coming from just one place.
Sebastian Kuenne: Maybe a follow-up.
Ann-Sofie Nordh: We'll take that later on. Thank you, Seb. We will open up the line for Alasdair at Bernstein, please.
Alasdair Leslie: So you called out strong utility demand in Electrification. It sounds like, obviously, that's been a key driver again in the quarter, I suppose, outside of data centers. I don't think you've expanded on that yet. So I was just wondering if you could talk about the trends there a little bit, perhaps unpack that. Are growth rates accelerating? Are you seeing sort of similar dynamics in the U.S. and Europe? And are there kind of any limiting factors on growth there, either from the customer side or perhaps on the supply side, just a comment on equipment lead times, maybe not your own, but maybe elsewhere in the industry.
Morten Wierod: Yes. As I said, the overall trends in the data center is very positive. So there is a long-term good ramp-up in that business. We see that in North America, which is the biggest part in dollars, clearly, biggest part of the market, but also the percentage growth is strong also in Europe, but especially also in Asia. So we see the trend overall. It's not pure a North American or a U.S. topic. It's really a global trend also in China when we're looking at our business there. When you talk about what's the limiting factor, I don't think it's -- ABB will not be kind of a limiting factor, but there are areas, and we talked about before, power transformers and also gas turbines used kind of in critical power, those are applications that has much longer lead times, which we see there also there are more capacity coming online in the later kind of stages of -- a couple of years from now in the industry, which may help and not be such a limiting factor kind of -- but there are a few years ahead that could help that we are able to keep on an even stronger growth than what we see. So that's kind of -- that's the limiting factor what we see today.
Timo J. Ihamuotila: I think there was also a utility -- utility question.
Alasdair Leslie: Yes, there was a question as well on utilities.
Timo J. Ihamuotila: Yes. So I can comment on that also. So -- on the utility, I think we see very strong demand environment at the moment, particularly U.S. when they need to sort of strengthen the grid. And there, of course, we have a really good product portfolio, especially for the underground stuff, which is happening, and we really expect that this to be a very long-term trend in the U.S., of course, given by increased demand in electricity, as Morten was talking about.
Morten Wierod: That's the whole power generation topic, again, that we need more electricity, more energy. And therefore, it will be new investments also in -- especially in the United States on -- when you talk about the on the LNG side.
Timo J. Ihamuotila: Yes. And maybe throw in there also that in our medium voltage business because there's been a lot of discussion on kind of like that is the industry sort of investing at the right level. We think that we are absolutely investing in the right level. We have the strongest growth in medium voltage in data centers, but that is still kind of like 15% or something also from the medium voltage business. And actually, the utility part is 35%. So strong growth in both of those 2 areas are, of course, extremely important. And as we discussed, we really think this is a strong long-term trend.
Ann-Sofie Nordh: And then we take the next and potentially last question from George at Barclays.
George Featherstone: Just maybe a bit of a follow-up on some of the topics you've just been discussing there on medium voltage. You said at the start of year, you gave some quite helpful color on lead times for your business. I think you said they're around 30 weeks in January. Can you help us with where they are today? And then lots of competitors clearly adding capacity. Are you concerned at all about losing any share in that sort of environment if you're not really doing that yourself?
Morten Wierod: Yes. Let me start saying that the lead times, what we talked about earlier is also where we are today, which means that we are able to deliver more under kind of the same time span with some overcapacity, that's what you see in the revenue growth that comes out of it. I don't think I'll comment on much of what is the lead time of competitors. What I want to make sure is that we are in the forefront and that this could be a competitive and use it as a competitive advantage for us. And that's because there, I believe it's an opportunity for us to gain share, not just being shorter, but also to be reliable. And that's in the main part, especially on large projects, reliability, the worst thing contractors want to hear is that the day before delivery that you are a month or 2 or 3 late. So this has been one of our parts, we have been -- we have not been super aggressive of taking orders, but we have been super aggressive when it comes to being reliable and that you can really trust us because I believe that long term, this will be a winning factor in our industry. People will remember the ones who could kind of not let them down or could help you to make a successful project and instead of doing failure. So that we have identified as a very important part. And there, I also know that we got a very high trust level and then from customer side. And then you can use that long term as well if you're able to bring customers over and then, of course, you need to keep them. And that is where this kind of solid project execution on this large deal with short delivery time, but also high reliability is a key winning factor. And I've seen from customer meeting that, that really builds customer loyalty as well, which is, again, in my opinion, into long-term success.
Ann-Sofie Nordh: And with that -- thanks, George. And with that, we wrap up from our end here and say thank you very much. And we encourage you that before you go on your summer breaks, log on to the IR website and register for the Capital Markets Day in November. Wish you a happy summer. Thanks. Bye.
Morten Wierod: Thanks. Likewise.